Operator: Hello, and welcome to WESCO International, Inc.'s 2025 Fourth Quarter and Full Year Earnings Call. If you would like to ask a question, please note this event is being recorded. I will now hand the call over to Scott Gaffner, Senior Vice President, Investor Relations. Please go ahead, Scott.
Scott Gaffner: Thank you, and good morning, everyone. Before we get started, I want to remind you that certain statements made on this call contain forward-looking information. Forward-looking statements are not guarantees of performance and by their nature are subject to uncertainties. Actual results may differ materially. Please see our webcast slides and the company's SEC filings for additional risk factors and disclosures. Any forward-looking information speaks only as of this date, and the company undertakes no obligation to update the information to reflect changed circumstances. Additionally, today, we will use certain non-GAAP financial measures. Required information on these measures is available on our webcast slides and in our press release, both of which are posted on our website at wesco.com. On this call, we have today John Engel, WESCO International, Inc.'s Chairman, President, and Chief Executive Officer, and David Schulz, Executive Vice President and Chief Financial Officer. With that, I'll turn the call over to John. Well, thank you, Scott. Good morning, everyone, and thanks for joining our call today.
John Engel: So I'd like to open up today's call with the organization change we announced earlier this morning. WESCO's CFO, David Schulz, will be retiring from WESCO in May 2026. David will serve as Executive Vice President, Adviser to me until his retirement. David has done an absolutely excellent job since joining our company in 2016. On behalf of our board of directors and the entire WESCO team, I'd like to thank David for his outstanding and dedicated service and tremendous contributions to our WESCO success over the past ten years. I have the utmost respect for David and greatly appreciate our business partnership that we had in building out the new WESCO. We extend our very best wishes to David and his family. I'm pleased to announce the appointment of Neil Deve as Executive Vice President and CFO. David and Neil will work together to effectively transition CFO responsibilities. Neil will join WESCO later this month to support a smooth transition. For a brief introduction to Neil, he's a seasoned CFO with extensive financial, commercial, and operational experience in multiple WESCO served end markets. In his leadership roles for both public and private companies, he's demonstrated the ability to navigate complex financial environments and deliver superior growth and value creation. Neil's an excellent addition to our executive management team and will help us as we continue to accelerate our strategy, execute our growth initiatives, deliver our financial targets, and create value for our stockholders. Now moving to our WESCO results. We closed out 2025 with positive momentum and, again, outperformed the market with our leading portfolio of product services and solutions. In the fourth quarter, we delivered record sales of $6.1 billion, up 10% year over year, including 9% organic growth, and set another record in data center sales of $1.2 billion, up approximately 30% year over year. At the business unit level, communications and security solutions and electrical and electronic solutions both delivered excellent results. This all occurred while utility and broadband solutions results continued to reflect the ongoing sales and margin challenges with public power customers. However, we saw a clear inflection back to growth with our investor-owned utilities in the second quarter of last year. And that marks the first of three consecutive quarters of IOU sales growth that strengthened in the fourth quarter. Overall, we finished the year with strong momentum, continued to take share, and build a record backlog, which was up 19% year over year. Providing another proof point that WESCO is benefiting from the enduring secular growth trends of, number one, digitalization, that includes AI-driven data centers and automation. Number two, electrification, that includes increased power generation and reliability. And number three, supply chain resiliency, that includes reshoring. Looking ahead, in 2026, and into this year, we expect to continue to outperform the market and deliver mid to high single-digit organic sales growth, strong operating leverage and margin expansion, double-digit EPS growth, and improved free cash flow generation. Recall that our midterm growth targets outlined at our last Investor Day called for organic sales growth of 3% to 5%. But given our market share gains and exposure to secular trends, we have exceeded our midterm growth targets. As we've done consistently, we're maintaining a disciplined approach to capital allocation. In the near term, our priorities remain focused on debt reduction and share repurchases to offset the annual equity award dilution. And we continue to invest in our tech-enabled business transformation and manage an active M&A pipeline. I'm also pleased to announce that we plan to increase our annual common stock dividend by over 10% to $2 per share. Now I'll briefly touch on our enterprise-wide efforts in 2025, and this is an increasingly important differentiator for WESCO. We made excellent progress on our digital transformation throughout 2025. We advanced our technology and capabilities build and we've deployed our new tech stack in pilot locations in each of our three business units. The centerpiece of our new tech stack is a world-class data lake where we're working to apply AI to improve the efficiency and effectiveness of our business. Recently, we are pleased to be recognized by Fortune in their inaugural AI ranking of Fortune 500 companies with a number 10 ranking. Once our digital transformation is completed, we expect to accelerate our earnings growth through even greater cross-sell, expand our margins through improved pricing and operating cost leverage, and increase our working capital turns by leveraging our single global IT instance. In closing, as the market leader and with positive momentum building, I'm confident that WESCO will continue to outperform our markets and deliver exceptional value to our customers and shareholders in 2026 and beyond. Finally, I continue to be very proud of our talented and dedicated WESCO team whose relentless focus on serving customers, advancing our digital transformation agenda, and driving superior execution across our businesses is producing notable results. This is all occurring as we realize our vision of becoming the best tech-enabled supply chain solutions provider in the world. With that, I will now hand it over to David to take you through our fourth quarter and full year 2025 results as well as provide a more detailed outlook on our 2026 outlook.
David Schulz: Thank you, John, and thank you for the kind words. Good morning, everyone. I'll turn you to Page four. Sales in the fourth quarter were in line with our expectations driven by strong performance in DES and CSS. Revenue was $6.1 billion, an increase of 10% year over year with organic sales up 9%. Growth was driven by approximately six points of volume and an estimated three points of price, including one point from commodities. CSS delivered 17% organic growth, EES grew 8%, and UBS organic sales increased by 3%. The increase in adjusted EBITDA was driven by higher sales. SG&A as a percentage of sales was essentially flat versus the prior year. Gross margin was 21.2%, in line with the prior year. Adjusted EBITDA margin was 6.7% of sales, and adjusted EBITDA was $409 million, up 10% year over year. Adjusted EPS grew 8% to $3.40. Turning to Page five. For the full year, sales were $23.5 billion, an increase of 8% with organic sales up 9%. Volume contributed approximately seven points while price provided an estimated two-point benefit, including about a point from commodities. Volume growth was strong across CSS and EES, with UBS momentum returning in the second half. Adjusted EBITDA increased 2% to $1.54 billion or 6.5% of sales. Gross margin was 21.1%, down 50 basis points versus 2024. The decline in gross margin reflects project and product mix, along with public power competitive pressures. Adjusted EBITDA margin also benefited from 10 basis points from operating leverage versus the prior year. Turning to Page six, I'll provide you the bridge on EPS versus the prior year. In the fourth quarter, adjusted EPS increased 8% to $3.40. The year-over-year improvement was driven primarily by strong operational execution as well as the benefit from the preferred stock redemption. Interest expense was higher than the prior year due to the issuance of the 2033 notes, which funded the preferred equity redemption, and a one-time adjustment to interest on taxes payable of approximately $10 million. In addition, the effective tax rate in the prior year period included several benefits from favorable adjustments creating a tougher comparison. Versus our expectations heading into the quarter, non-operating items were approximately $10 million higher due to the one-time interest expense that I just mentioned. There were also two unanticipated tax items in the quarter, but they netted to an immaterial impact. For the full year, adjusted EPS increased 6% to $12.91. The key drivers were consistent with the fourth quarter, including the absence of the preferred dividend, favorable FX impact, and a lower share count, all of which contributed positively to EPS growth. Contributions from operations were slightly negative year over year, reflecting pressure from lower gross margin. Interest and tax remained relatively stable contributors for the year. I'll walk you through our business unit results beginning with CSS on Slide seven. In the fourth quarter, CSS again delivered very strong results. With organic sales up 14% and reported sales up 16% year over year. This growth was driven by continued strength in WESCO data center solutions, where sales were up over 30% driven by strength across our hyperscale customer base. Enterprise network infrastructure also contributed to growth with sales up low single digits over the prior quarter. Security sales were up low double digits and including data center-related sales, the business grew mid-teens. Growth was driven by customers accelerating the shift from analog to digital systems with AI-enabled data center deployments, amplifying demand for our next-generation security solutions. CSS backlog increased nearly 40% ending the year at a record level and highlighting the continued strength of our data center business. Adjusted EBITDA for the CSS segment grew approximately 30% with adjusted EBITDA margin of 9.1%, up 90 basis points versus the prior year. This year-over-year expansion reflects higher gross margin and improved operating leverage on strong top-line growth. Gross margin was 21%, up 20 basis points year over year. Adjusted SG&A improved by 70 basis points to 11.9% of sales. For the full year, CSS reported sales were up 18% with organic sales up 17%. Growth was driven by exceptionally strong demand in our WESCO data center Solutions business, up over 50% for the year along with solid growth in security. Adjusted EBITDA margin expanded 50 basis points year over year, reflecting strong operating leverage on higher sales. Turning to Slide eight, I want to take a moment to discuss the continued strength we're seeing in the broader data center market and WESCO's expanding role in supporting this growth. Customers continue to rely on WESCO and our supplier partners to meet their evolving requirements and our capabilities now span an increasingly broad portion of the data center life cycle. From a total company perspective, data center sales were $4.3 billion for the full year, up approximately 50% and represented roughly 18% of WESCO International, Inc.'s 2025 sales. This growth was driven by strong performance across both gray space and white space environments, with CSS once again delivering the majority of the contribution. WESCO's capabilities now support every major phase of the data center life cycle. From power and electrical distribution infrastructure to advanced AI compute environments to on-site services that support construction, commissioning, and ongoing operations. This allows us to deliver value across the full investment cycle and to support our customers as their needs rapidly evolve. Looking ahead, we expect this momentum to continue as investment in digital infrastructure accelerates. With our comprehensive capabilities and deep customer partnerships, WESCO is well-positioned to capture additional share and support the next wave of data center growth. Turning to slide nine. This page highlights the breadth of WESCO's data center product, services, and solutions offerings. Our capabilities span both gray space and white space, enabling us to serve hyperscale, multi-tenant, colocation, and enterprise customers with a comprehensive portfolio. In the gray space, which represents roughly 20% of our total data center sales through our EES business, we provide the critical power, electrical, mechanical, automation, and MRO products required to support the construction and operation of high-performance scalable facilities. The white space, representing approximately 80% of our overall data center sales through CSS, includes our next-generation connectivity and IT infrastructure portfolio. Beyond products, our services offer spans the full life cycle of a data center. We support customers from early planning and design through installation, commissioning, and integration, all the way to ongoing operations, modernization programs, managed services, and ultimately decommissioning. This end-to-end capability allows us to help customers adapt quickly and execute at scale in a rapidly evolving environment. With our global ecosystem of suppliers and partners, WESCO provides a single coordinated source for the solutions required across the data center life cycle. We enable seamless execution across the globe to support customer timelines and project requirements. Taken together, our combination of products, services, and solutions, and deep technical expertise positions WESCO exceptionally well to continue capturing the strong secular growth in data center demand driven by cloud, AI, and edge computing. Together, these capabilities position WESCO as a trusted end-to-end partner for the world's leading data center operators. We remain well aligned to support the significant long-term growth in this market. Moving to Slide 10. For the fourth quarter, EES reported and organic sales were up 9% driven by growth across construction, industrial, and OEM, marking our third consecutive quarter of growth in these end markets. We are very pleased with the strong results in our EES segment as we exited the year. Construction sales were up low double digits in the fourth quarter, supported by strong wire and cable demand and continued infrastructure project activity. Industrial sales were up low single digits year over year with notable strength in Canada. OEM sales increased mid-teens. EES backlog was up 6% year over year, reflecting healthy underlying demand across the portfolio. EES adjusted EBITDA grew 16% versus the prior year with adjusted EBITDA margin expanding 50 basis points to 8.5%. This improvement reflects higher sales, favorable gross margin up 50 basis points year over year, and solid SG&A performance. For the full year, reported sales were up 7% with organic sales up 8% led by strong OEM and construction growth and improving industrial performance. Full year adjusted EBITDA was up 3% and adjusted EBITDA margin was down 30 basis points reflecting modest gross margin pressure driven by project activity and product mix, primarily in the first half, which was partially offset by disciplined SG&A management. Turning to slide 11. For the fourth quarter, UBS reported organic sales were up 3% year over year. Utility grew mid-single digits driven by strong double-digit growth at IOU customers, including higher sales from grid services, partially offset by continued softness with public power customers. Broadband declined high single digits versus the prior year due to a difficult prior year comparison. Growth within our IOU customer base returned in Q2 and has now continued for three straight quarters. As we've discussed throughout the year, we continue to see softness with our public power customers driven by inventory normalization and competitive pressures. Consistent with our commentary last quarter, we continue to expect public power customers will return to sales growth by the end of 2026. UBS backlog increased 23% year over year, supported by IOU project activity, and improving broadband trends providing a strong setup for 2026. Adjusted EBITDA margin was down approximately 120 basis points year over year, primarily reflecting lower gross margin driven by headwinds in Public Power. On a full-year basis, reported sales in UBS declined 5% with organic sales down 1%. Utility was down low single digits over the prior year driven primarily by lower public power activity. Broadband grew mid-single digits on continued network investments. Full-year EBITDA margin in UBS declined 90 basis points primarily reflecting competitive pressures in the public power market. We expect stronger UBS results in 2026, driven by IOU customers and grid services applications as our utility customers respond to the rising power demand curve. Turning to our Grid Services business on Slide 12. We want to provide you with additional insight on a growing part of our UBS business. Grid Services provides end-to-end execution, technical depth, and supply chain strength to help utilities and heavy power operators build, modernize, and reliably power critical grid infrastructure. This business generated over $300 million of revenue in 2025, and grew at a mid-single-digit rate. In 2026, we expect growth to accelerate to double digits. Our grid services team supports projects across distribution, medium voltage, transmission, and substation systems through a unified model that coordinates materials, logistics, and engineering services. In distribution, we supply conduit, poles, protective equipment, and other essentials needed to ensure reliable and resilient last-mile power delivery. In medium voltage, we provide power cable, connectivity, switching equipment, including pad mount cabinets and termination kits, to help customers operate medium voltage systems safely and efficiently. In transmission, we deliver the critical components required to build, harden, and modernize high voltage networks such as cable and conductor, insulators, poles, and structures. And in substations, we provide high voltage apparatus, steel structures, grounding systems, power and control cables, and other equipment that enhance grid reliability and support growing electrification demands. Behind these product offerings is a set of execution capabilities that enable us to deliver them reliably, and at scale. Our program and project execution teams coordinate planning, scheduling, and field execution, to keep critical work on track. Even amid industry-wide labor shortages and rising project complexity. Our supply chain and materials management organization helped to ensure reliable material availability through centralized sourcing, staging, kitting, and logistics to reduce scheduling risk for utilities, developers, and data center operators. Our technical and field support team provide product application and design support, qualified resources to help manage complex project portfolios, and in support of safe, efficient installation and startup across complex grid and large load projects. Collectively, we believe these capabilities give WESCO a durable, competitive edge. Reflected in four core strengths that shape how we execute for our customers. Our end-to-end model integrates program management, supply chain logistics, and technical support into a single solution reducing complexity, reducing handoffs, and accelerating power readiness and timeliness for utilities, data centers, and large load interconnects. Our scale and infrastructure provide reliable material availability, faster mobilization, and stronger security certainty advantages that materially improve project outcomes. We bring comprehensive high and medium voltage capabilities including apparatus management, prewired assemblies, and specialized advisory services, enabling us to help deliver complex grid modernization programs in large load interconnects. And we execute with exceptional speed. Leveraging dedicated partners and proven logistics and staging processes. Our grid services business plays a critical role in enabling power delivery readiness across the markets we serve including data centers and digital infrastructure, emerging markets, renewables and electrification, and utilities. In the data center market specifically, these same capabilities come together in a powerful way to our holistic power to compute model. This begins at the grid connection where our UBS team enables high capacity, utility-side power readiness. It continues through the building's gray space electrical infrastructure delivered through our EES business and it concludes inside the white space, where our CSS business provides a network infrastructure, connectivity, and compute-ready solutions that support cloud, enterprise, and hyperscale environments. Turning to page 13. Let me wrap up our discussion of 2025 with some comments on free cash flow. For the full year, we delivered $54 million of free cash. As a reminder, our distribution model naturally requires investment in working capital. Particularly in periods of elevated activity and strong sales growth. Fourth quarter results reflect higher accounts receivable, as well as a meaningful inventory build to support this growth. As shown in the waterfall chart on the left, accounts receivable and inventory increased during the year as we continue to drive organic sales growth well ahead of our midterm Investor Day target of 3% to 5%. In 2025, organic sales were up 9%. Turning to the right side of the slide, net working capital intensity remained under control. Net working capital as a percentage of sales was 20.1%, compared to 19.8% in 2024, and 21.4% in 2023. While the year-over-year comparison shows a modest increase, this movement was largely attributable to higher accounts receivable levels. Looking ahead to 2026, we expect net working capital to grow at roughly half the rate of sales which will further reduce net working capital as a percentage of sales and support stronger free cash flow conversion. Moving to Slide 14 and our 2026 outlook. Let me begin with the growth drivers by strategic business unit, and the individual operating groups. As John mentioned, we expect reported sales growth to be in the range of 5% to 8% in 2026, with organic sales between 4% to 7%. Starting with CSS, now represents approximately 39% of WESCO's revenue, we expect 2026 sales to be up high single digits plus. Data center remains the primary growth driver and as highlighted on this slide, we expect data center sales to be up mid-teens in 2026. We also expect security to contribute to growth supported by continued healthy end market demand. In enterprise network infrastructure, we expect improvement versus 2025 as market conditions stabilize and order activity continues to improve. Looking at our EES segment, we expect 2026 sales to be up mid-single digits. The improvement is expected to be broad-based across the segment with construction, industrial, and OEM each positioned for growth as demand trends continue to improve and project activity remains strong, driven by the secular growth trends. Lastly, looking at UBS, we expect 2026 sales to be up low to mid-single digits. This reflects an improvement from the headwinds we experienced in 2025 with better momentum in utility, particularly with investor-owned utilities along with double-digit growth in grid services. We expect sales to public power customers will return to growth by the end of the year. And we expect continued solid performance in broadband. And as we've discussed previously, the long-term fundamentals remain attractive. Given the significant underlying demand for grid modernization investment and increased generation, transmission, and distribution spending to support rising power needs. Moving to Page 15, let me walk you through the details of our outlook for 2026. Starting at the top of the page, as mentioned, our full-year 2026 outlook calls for reported sales growth of 5% to 8% with organic sales up 4% to 7%. We currently anticipate a one-point benefit from foreign exchange with no impact from M&A or workdays. Our outlook reflects the continued strength we are seeing in most end markets highlighted by robust data center demand and supported by improving trends across electrification, and other project-related activity. Looking at the sales drivers, our outlook includes approximately two to five points of volume, and two points of carryover pricing. As a reminder, our outlook does not include the impact of future pricing actions, including tariffs. This is consistent with our past practice given the timing lag between supplier notifications and revenue realization. Q4 price increase notifications were up over 125% in count year over year with the average increase in the mid-single-digit range. Through January, we continue to field a higher than average number of price increase notifications with the average increase in the mid-single-digit range. We expect adjusted EBITDA margin to be in the range of 6.6% to 7%. The midpoint of this range reflects progress on operating leverage and gross margin execution, balanced with ongoing investments in our technology-enabled business transformation and the mixed dynamics inherent in large project activity. We continue to see opportunities to expand margins through improved pricing discipline, better cost leverage, and the benefits of scale as volume grows. Moving down the page to EPS. Our outlook range for adjusted diluted EPS is $14.50 to $16.50, a growth rate of 20% at the midpoint driven primarily by improved operating performance. We have also provided key assumptions underlying our outlook. Consistent with historical results, cloud computing amortization and stock compensation are recognized as SG&A expense for the calculation of adjusted EPS and not included in adjusted EBITDA. Lastly, turning to free cash flow. We expect to deliver free cash flow of $500 million to $800 million in 2026. This reflects our expectation for improved cash generation versus 2025 as we continue to make progress on working capital initiatives with working capital growth at approximately half the rate of sales in 2026. Regarding capital allocation, our top priority remains investing organically in the business to drive growth and operational efficiency, including continued progress on our tech-enabled transformation. After funding these organic investments, we will focus on reducing debt. Beyond that, we will allocate remaining free cash flow to the highest return opportunities including disciplined and opportunistic share repurchases to offset annual equity dilution and selective strategic M&A that expands our capabilities in high-growth end markets. Finally, consistent with our commitment to shareholder returns, we plan to increase our annual common stock dividend by more than 10% to $2 per share or approximately $100 million on an annualized basis. Turning to slide 16. This slide shows the year-over-year monthly and quarterly sales growth comparisons over the past year. Along with our expectations for the first quarter. You can see the continued momentum in our business through 2025, with steady improvement across the year and a strong finish in the fourth quarter. As highlighted, preliminary January sales per workday are up approximately 15% reflecting continued positive demand trends across all business units with growth rates by SBU similar to what was experienced in Q4. Storm-related activity had an immaterial albeit negative impact on sales in January, which we expect to recover later in the quarter. For the first quarter, we expect reported sales to be up high single digits with growth across all three business units. Recall that January is the lowest revenue month for the quarter and the year and that March is the highest revenue month in the quarter. Organic sales are expected to be up a similar amount as there is no meaningful difference in workdays year over year and FX impacts remain modest. We expect adjusted EBITDA margin to be up versus the prior year driven by a combination of improved gross margin and operating leverage on the higher sales growth rate. In line with historical seasonality, Q1 sales are to be down low single digits sequentially. In addition, we experienced a reset in benefits costs and payroll taxes in Q1 versus Q4, which drives slightly higher costs sequentially. One last item to note is that the expected tax rate for the first quarter is approximately 25%. Historically, we see a favorable tax rate in Q1 versus the balance of the year. Moving to slide 17, we've covered a lot of material this morning, so let me briefly recap the key points before opening the call to your questions. We closed 2025 with strong top-line performance, driven by exceptional data center growth and strong results across EES, CSS, and improving trends in UBS. While free cash flow came in below expectations, we are acting decisively and we expect meaningful improvement in 2026 as working capital initiatives take hold. Looking ahead, we enter the year with record backlog, healthy demand across our most attractive end markets, and a 2026 outlook that calls for above-market growth, margin expansion, and stronger cash generation. With that operator, we can open the call to your questions.
Operator: We will now begin the question and answer session. If you would like to ask a question, please press star followed by 1 on your telephone. Please limit your questions to one question and one follow-up. Our first question comes from David Manthey with Baird. Please go ahead.
David Manthey: My first question is on the price that you mentioned. You've talked about this before. I'm a little unclear on why you describe it in terms of the number of increased letters, and you said the average increase is mid-single digits. But you're not including anything in the outlook here. So if you could talk us through that. But more importantly, if you should happen to get a few points of incremental price in 2026, would and this is a hypothetical, of course. But would that take you to the high end of the EBITDA margin guidance range alone just to pick up a couple points of price? Could you just walk us through that?
David Schulz: Yes. Certainly. So the way that we've outlined 2026 is very consistent with how we've always provided you with our future-looking projection. Given the uncertainty of when the price increases that are issued to us by our suppliers, when they will actually hit our revenue, we don't include it. We are highlighting the number of increases just to provide you with some context around the inflationary environment that we're dealing with. Many of our suppliers have historically taken one, maybe two price increases a year. We're seeing the number of price increases announced by them accelerate and you're seeing what used to be a low single-digit announced price increase has now been trending up to mid-single digits. It's moderated a little bit here in the month of January, but we're just providing that as perspective as to what the current market environment is dealing with. From our perspective, if we are seeing those price increases continue to get pushed through from our suppliers, and you're seeing the market accept those higher prices, you would see some transitory benefit on our gross margin. So that would give us a couple of extra basis points on the gross margin line. And then as our sales increase behind those price increases, we should get better operating leverage. So there is some benefit if these price increases do come through, but I will caution everyone that last year at this time, we were talking about the same item. So we did not see the benefit of that mid to high single-digit price increase notification translate through to our results. We only saw a 2% benefit for the full year 2025 on pricing. And a point of that was commodity-driven. So that's why we don't include it in the outlook. But if it does come to fruition, we're prepared to pass it through and ensure that we get the margin capture behind it.
David Manthey: That's a great explanation, David. Thank you for that. Second, as I look at contribution margins here in the fourth quarter, I know it's maybe a little bit wrong to look at just one quarter in a vacuum. But CSS and EES came in around 14.5% year over year, which looks great. But the UBS is what dragged things down overall. And so the question is, you outlined a little bit about the complexion of the year and what UBS should look like. I just want to make sure that what's going on in UBS right now is a solvable issue in that this is just a mix of business or a transitory competitive situation. Could you talk about that? Or are there bad contracts in here that you can walk away from? Could you just talk us through sort of what that looks like through '26?
John Engel: Yeah. Hi, David. Good morning. The Hey, John. It's really driven exclusively in utility. The utility portion of UBS. By public power customers. So this is an extension of what's been occurring. And we've talked about the dynamics of public power, that value chain investor-owned utilities for a number of quarters in a row now. Inventory is still normalizing. So they're still running with excess inventories at the public power customer level. And pricing is very competitive. What we're seeing is this pricing challenge and which translates to a margin challenge and we did take a significant impact in utility margins due to public power. Specifically with respect to transformers, that product category, and a little bit of a wiring cable, but principally transformers. This did not affect overall kind of line construction materials. So it's a really important point. In terms of your other part of your question, how would this do we see this? Does it extend? We're very clear that our outlook for 2026 expects to return to growth in public power by year-end. So I'll highlight that IOUs are a bright spot. They have improving momentum. We have three quarters in a row now of IOU growth. And that IOU growth has been picking up. If you look at what's happened in Q2 of last year, grew low single digits Q3, high single digits Q4 was up double digits. And so we've got a nice momentum vector. With our investor-owned utilities. Grid services that we highlighted in this earnings release it's important that we did talk about it first at Investor Day. But that is an aggressively and like, growing piece of our utility business. And that was up single-digit growth in 2025, but double-digit growth in the fourth quarter. Very important point. And utility backlog was up 23% at year-end, which provides a strong setup for 2026. So here's the bottom line, David, on the second part of your question. We do expect sales growth and margin expansion for UBS in 2026, and that's built into our outlook.
David Manthey: Makes sense. Thanks for the color, John. Appreciate it.
Operator: Our next question comes from Sam Darkatsh with Raymond James. Please go ahead.
Sam Darkatsh: Good morning, John. Good morning, David. How are you? Morning, Sam. And, David, best wishes on your next chapter. It's been absolutely terrific working with you over the past decade. Just terrific stuff.
David Schulz: Thank you.
Sam Darkatsh: So a couple of just clarification questions if I could. You're guiding for data center growth mid-teens. Can you give a sense of what you're anticipating first half versus second half? Or what kind of exit rate in fiscal '26 you're seeing at a data center within the guide?
David Schulz: Yes, Sam. The comps were pretty tough back in 2025. So in terms of our activity levels, we see relatively consistent activity levels by quarter on a dollars basis in 2026, but against the comp that was continuing to increase throughout the year. So you know, we've got a, you know, we were up 70% in 2025. So, again, the dollars have continued to increase sequentially through 2025. We would expect that the dollars will be relatively consistent by quarter in 2026. It is a project-based business, so there's always some things that could move. You know, a week or two within a quarter. But, generally, that's how we're viewing the opportunity in '26.
Sam Darkatsh: So January is, like, running that mid-teens then?
David Schulz: We would comment that our results from the fourth quarter seem to have continued about the same way from a growth perspective by business unit. And so in January. In January. Be clear. In January, Sam. You know, our up 15% per workday in January. The mix of that sales growth is consistent with our fourth quarter.
Sam Darkatsh: Got you. My second question, and I apologize, I clicked off of a point during the call. So if you mentioned this, I apologize. You obviously missed the fourth quarter free cash flow expectations. It sounded like it was primarily on the receivables side. You're guiding for only roughly a 100% free cash flow of net income in '26. I would have thought that with the timing of the receivables and maybe the improving vendor lead times that that free cash flow might have been above net income for '26. Can you help reconcile perhaps some of those areas, David?
David Schulz: Yeah. Certainly. And so you're right. The fourth quarter free cash flow was impacted primarily by a higher receivables balance just given the trends by month within the '5. We also had a higher inventory balance than we were anticipating. As we think about the free cash flow generation, you know, we've given you a range of $500 to $800 million that does include some of that carryover benefit of the receivables that we're collecting here in Q1. But the other thing that we would highlight is that, you know, that 100% historical free cash flow generation generally occurs when you're in that, you know, 3% to 5% organic growth range. And so while we do anticipate that we will have further investments in working capital to support what we provided you as an organic sales range of 4% to 7%, we do see the opportunity to do better collecting cash in 2026. So from our perspective, this is the right view to start the year with on a free cash flow basis. Given the continued strength in organic sales and what we're anticipating in terms of sales by quarter in 2026.
Sam Darkatsh: Very helpful. Thank you.
Operator: Our next question comes from Guy Drummond Hardwick with Barclays.
Guy Drummond Hardwick: Hi, good morning.
John Engel: Morning, Guy.
Guy Drummond Hardwick: It was good to see the pickup in the order book at EES. So just wondering if you could comment on just the order book trends by end markets and particularly if you excluded the data center business.
John Engel: All three of the businesses grew their backlog in Q4. So that's a really important point. And so and if it you should really think about that in the backdrop of over the longer-term normal seasonality we would not have expanding backlog. Or growing backlog in the fourth quarter. So and so positive momentum vector is the answer. CSS, obviously, was the strongest of the three. With a, you know, backlog up 40% at a record level. As we said, UBS is up 23%. EES grew as well. I will say what's really encouraging with EES is just the overall momentum vector. When you're looking at opportunity pipeline, the bid activity level, plus backlog, plus the increased sales growth rate. As we as we move throughout 2025 and particularly the second half. It really kicked into gear. And so and I'll remind you, we got a new EES leader who joined in the third quarter, and so off to absolutely a terrific start as evidenced by the strong, you know, Q3 and even stronger Q4 results. And what's really encouraging is we're getting the operating cost leverage with EES plus gross margin expansion in Q4. Same with CSS. We're getting the operating cost leverage UBS, we already talked about those drivers, but plus the gross margin expansion in Q4. I'm very bullish on UBS' sales and profit expansion opportunities in 2026.
Guy Drummond Hardwick: Thank you. I'll pass it on.
Operator: Our next question comes from Deane Dray with RBC Capital Markets.
Deane Dray: Thank you. Good morning, everyone. Also, will add my thanks to David, and congratulations.
David Schulz: Thank you, Deane.
Deane Dray: Maybe we can start with some further clarification on the UBS shortfall because last quarter, there was a sense that it had turned the corner. Broadly within the segment on the public power side, but it looks like that recovery is now getting pushed into year-end. And you referenced competitive pressure. So how much of a dynamic is that in? Or is it really core demand? And then just so broadly, before you answer that, just the idea is you've got IOUs doing better. So maybe just educate us if that is moving, how much confidence does that give you about the public power side? Is there a lead? Is there a lag? You know, how correlated are they? So a lot to unpack there, but maybe we could start there, please.
John Engel: Yes. So, Deane, look. The public power challenges were all throughout 2025 and, in fact, in 2024 as well. And I'll just I'll just take a few seconds and just we've talked through the dynamic of what the pandemic did to the utility value chain and that IOUs benefited first. Versus public power. So I'm not gonna go back through that, but we've gone through that a few times. That's important to understand. The momentum improvement we experienced in 2025 started in the second quarter it was with the return, the growth of IOUs in that quarter. Not public power. IOUs that is we move through Q3, stepped up their growth rate. To high single digits versus prior year. But public power still remained significantly challenged. And that challenge just extended and continued throughout. And it's a combination of two things. One is Q4. There's still an excess inventory position. At the public power customer level, on specific categories principally being transformers and distribution transformers, I'll call them. And so that's coupled with the fact that they have that excess inventory position any RFPs they're putting out to kind of do some minimal stock replenishment is under extreme competitive bidding pressures. So we experienced that negative mix effect on the category of transformers principally the public power, it was and it occurred throughout the year, but was also continued in Q4. Look. I think the public power market still has these same challenges as we started this year. And as David mentioned, our January sales results were really encouraged with the plus 15%. That's a really terrific start with the year given December's close. And the mix of the businesses in terms of the all three are growing is similar to Q4. But public power has not returned to growth. We're now stating that we expect that that return to growth will be not till the end of the year. But the very good news is and this is why it's a critical point. We included grid services in this deck. I know it's a lot to unpack. And we had a lot of script commentary around grid services. I'll remind you that we did tee that up back at Investor Day in 2024. That's been an increasing part of our business. To 300 plus million dollar business that we built organically. It grew mid-single digits last year, double digits in Q4, not via acquisition. This thing's really kicking into gear. So when you start thinking about utility, and UBS in 2026, particularly, you know, if IOUs with three quarters in a row of very positive momentum, we expect IOUs to carry the day. Public powers will remain public power will remain challenged. That is our view for 2026. But grid services increasingly kicking in and providing strong growth because we've got an outlook for grid services. Of double-digit growth for 2026. So it was a lot to unpack. Hopefully, that helps kind of stitch it together.
Deane Dray: John, that was really helpful. I appreciate that. And just as a follow-up question, there's been so much focus across the electrical equipment sector on these North America mega projects. There's over 800. That are over a billion dollars of spending. Just have you all looked at what that opportunity is? How many projects of the 15 that have started do you think you're engaged in? Is that part of your backlog and visibility?
John Engel: Yeah. A great question, Deane. First of all, we're aware of all of them. I think we've got a rigorous process wrapped around the front end of our opportunity pipeline. We got some terrific tools in place. We scrape all public data. We obviously have the relationships with our customers that we're leveraging. That's end-user customers. Where we have particular strength because the percentage of our customer reach is end-user is disproportionately higher than any of our competitors, but also where we serve big contractors and all the way up to global EPCs. So that process I'll call the front end of the opportunity pipeline, is something we've spent a lot of time and attention on. It's robust. It's operational. We've you know, we don't size our opportunity pipeline externally, but it's been growing at a very large clip. And it's at an all-time record level. And each of the three SBUs has their piece of the opportunity pipeline. We got a rigorous process that manages those opportunities because for every opportunity, we're looking for the cross-sell and the one WESCO. Complete. And what's the total one WESCO scope for every opportunity? And, obviously, what's in that pipeline is the mega project. So you know, we've not provided further detail Deane, in terms of you know, what percent we've won thus far, but I will remind all investors that remember upon announcement of a mega project, these are longer cycle time in general. And depending on the package that we're bidding, it comes into play at different parts along the construction cycle. So that to me is that's part of my bullishness on the future growth trajectory. That we'll be able to capture and continue to deliver against for WESCO. Because it is what feeds this secular growth trend of the infrastructure build-out and it's obviously driven by heavy reshoring and nearshoring as well. So outstanding question, Deane, but it is it's really one of the key elements that gives us great confidence about the rising demand curve for our business.
Deane Dray: Thank you.
Operator: Our next question comes from Nigel Coe with Wolfe Research. Please go ahead.
Nigel Coe: Oh, thanks. Good morning. Good morning, John. Good morning, David. So just on the SG&A, obviously, up I think, by 11% year over year in the fourth quarter. You called out a long list of factors there. So maybe just talk about what caused that and, you know, were these year-end accruals just maybe break out the 30 basis points in 2026. You called out gross margin expansion and SG&A leverage. I'd be curious how that looks between the two categories.
David Schulz: Yes, certainly. So Nigel, let me start with on the SG&A front versus the prior year. The quarter, this is primarily a base period issue. Recall that we talked about as we came into 2026 or I'm sorry, 2025 that we would need to restore incentive compensation. In the fourth quarter of 2024, we had much lower spending on incentive comp just given the trajectory of our sales and EBITDA relative to our plan. In 2025, the incentive compensation expense was more typical for the quarter. So that was really the big driver of the year-over-year change in SG&A was really driven by incentive compensation.
Nigel Coe: Okay. Thanks, David. And then just the January 15% growth is obviously exceptional. High single digits for the quarter. I mean, I understand January is a low contribution to the quarter. But is it more consistent? So I do think January is your toughest kind of comp month in the quarter. Is it just conservatism, or was there anything lumpy in January that you called out?
David Schulz: Yeah. January is always hard for us to pull a trend out of because we have so much activity during the month of December. You know, a lot of it, you know, based on where we finished December, we thought that we would be off to a slower start in January. Then when you add on top of that the issues with the weather. So we were pleasantly surprised by the strength of the business and the sales that we saw through the month of January. You know, again, we think that we've got the right way of thinking about this. I mean, February, we generally see, you know, obviously, fewer workdays, but then March we expect to see a recovery. So there's you know, from our perspective, the right way to think about this is there could be some activity that occurred in January that was carryover from December that we didn't get out the door. But we think that thinking of a high single-digit growth rate on reported sales is the way that we're viewing the first quarter.
Nigel Coe: Great. Thanks, David. And by the way, you're far too young to be retiring. But, anyway, good luck.
David Schulz: Thank you. Thank you, Nigel. We by the way, we said the same thing.
Nigel Coe: Thank you. Good luck.
Operator: Our final question today comes from Tommy Moll with Stephens. Please go ahead.
Tommy Moll: Morning, Tommy.
John Engel: John, I want to start on data centers. Heck of a year you had in 2025 there, and you're now run rating well north of a billion dollars in sales a quarter. So I want to see if you can situate us on the opportunity from here because I hear David talking about relatively consistent dollars across the quarters in '26. I don't think you want the takeaway today to be that we've now peaked on run rate data center sales. But arguably, that's embedded in the guidance. So what would we need to see to drive another step change higher potentially? In data center?
John Engel: Thanks, Tommy. No. Look. I'll you know, David is not saying that we peaked with data centers, not even close. I'll just I'll take you back to this is actually important. I'll take you back to remember even it wasn't a few quarters ago. It was actually two years ago. When some of our supplier partners started to see the step up in growth related to data centers, and they were seeing it, and WESCO was not yet. And remember, we had a lot of questions from a number of investors on you know, in our earnings calls and at conferences, why aren't you seeing the growth yet? And we were very clear that the limited number of suppliers that are in a public domain where you can see the results and we're no we all know who we're talking about, that this was direct ship parts of their business and those packages went in at the very early stage of the site of the total life cycle of the construction. Project for a new data center. And we said we are highly confident that we will see that growth rate but it doesn't come one or two quarters later. It's three, four, five, six quarters later. We clearly have seen that. And I would argue that the growth rates we're seeing are equal to, if not above market. So that time lag still occurs Tommy, and it's an important point. It's why I'm so bullish over the mid to long term, and I don't think we're anywhere near not even remotely close to seeing a peak in the cycle for AI-driven data centers. And with that time lag, that serves us exceptionally well. Second point I'll make is look. You know, we're engaged with our customers. We're getting feedback from them. And in some cases, we're getting longer and longer looks into future plans because we're providing kind of a single one-stop shop to manage their global deployments which is a great place to be in the value chain. But as we're driving this growth, their forecasts have been increasing. And you're all seeing that in the form of headlines. Of increased capital spending. So this is just this is I would characterize this as a great problem to have. We have a rising power demand curve driven by a rising set of capital investments around AI-driven data centers. Go back and look at the forecast for that, each and every month, it's been getting increased. Some look. Some headlines came out earlier this week in terms of total spending across the magnificent seven. And it resulted in a forecast that stepped up again. So I think we're chasing this rising power demand curve we're exceptionally well positioned. And we think we'll disproportionately benefit. With all that said, you know, it's very hard to forecast you know, multiple quarters out. When things are inflecting up. So I'd look I think we're off to a great start. You know, we managed 2025 well. We gained momentum throughout the year, and we took data center our expectation for data centers up as we move through the year. Again, the market supported that because of the rising demand curve. So we think this is an appropriate guide to start the year with. But, hopefully, that gives you a little sense.
Tommy Moll: Absolutely. Thank you, John. As a follow-up, I wanted to ask about the free cash flow and specifically working capital comments. You gave for 2026. Can you just give us an example or two of some of the initiatives that are in flight to improve that working capital in the next year?
David Schulz: Yes, certainly Tommy. We have continued to drive changes to digital applications that we are using to better plan inventory. Working directly through a sales and inventory and operations planning process. We also have some various incentives, which are aligned to management and management incentives on our better management of accounts receivable. So that is another initiative. So not only do we want to work it from the inventory side and how we better manage our inventory days, and you know, we did make progress on inventory days through the first March. We saw a slight pop-up in the fourth quarter on our inventory days. And we had the same issue on receivables. So, but we are incenting our team to better manage both inventory and receivables in 2026. So slight changes to the program that we had in 2025 from an incentives perspective.
John Engel: Tommy, that's a very high priority for us. And we're driving that across the entire enterprise.
Tommy Moll: Thank you both. And, David, best of luck writing the next chapter.
David Schulz: Thank you.
John Engel: Well, thank you all. I think we've addressed your questions today. I know we have a number of follow-up calls scheduled, and we look forward to engaging with you on those. So I'll bring the call to a close. Thank you all for your support. It's very much appreciated, and I'll remind you, we expect to announce our second quarter earnings on Thursday, April 30, 2026. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.